Operator: Good morning, ladies and gentlemen, and welcome to the California Water Service Group, Fourth Quarter and Year-End 2019 Earnings Results Teleconference. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instruction will follow at that time. [Operator Instructions] As a reminder this conference call is being recorded.I'd now like to turn the conference over to Mr. David Healey, Vice President and Corporate Controller. Please go ahead, sir.
David Healey: Thank you, Tiffany. Welcome everyone to the 2019 fourth quarter and year-end earnings call for California Water Service Group. With me today are Martin Kropelnicki, our President and CEO; Tom Smegal, our Vice President, Chief Financial Officer; and Paul Townsley, our Vice President of Business Development and Chief Regulatory Officer.Replay dial-in information for this call can be found in our year-end and fourth quarter earnings release, which was issued earlier today. The replay will be available until April 27, 2020. As a reminder, before we begin, the Company has a slide deck to accompany the earnings call this quarter.The slide deck was furnished with an 8-K this morning and is also available at the Company’s website at www.calwatergroup.com. Before looking at the year-end and fourth quarter results, we would like to take a few moments to cover forward-looking statements. During the course of the call, the Company may make certain forward-looking statements. Because these statements deal with future events, they're subject to various risk and uncertainties, and actual results could differ materially from the Company’s current expectations.Because of this, the Company strongly advises all current shareholders, as well as interested parties to carefully read and understand the Company’s disclosures on risk and uncertainties found in our Form 10-K, Form 10-Q, press releases and other reports filed from time to time with the Securities and Exchange Commission.I’m going to pass it over to Tom to begin.
Tom Smegal: Thanks, Dave, and good morning, everyone. Welcome to our annual earnings call. I'm going to start walking through the slide deck and I apologize, I realized that we don't have page numbers on the slide deck this time, but I'm going to start with the table of financial results which is on the sixth page of the deck. And that is our full year results starting with earnings per share.We had earnings per share of $1 31, that's down $0.05 or 3.7% from the earnings per share last year, for the full year. Net income was $63.1 million, that's down $2.5 million, or 3.8% from the earnings last year.Looking to the fourth quarter, our earnings in the fourth quarter on a per share basis were $0.24, down $0.08 from the fourth quarter of 2018. And our net income was $11.3 million down $4.1 million from the earnings in the fourth quarter of 2018. I will highlight, actually, for both of these slides.Our capital investments for the year were $273.8 million, that is the highest recorded CapEx that we have as a company, and is a result of a big fourth quarter for CapEx. So, looking at the bottom of that fourth quarter chart, we saw $78.8 million of CapEx in the fourth quarter, up substantially from the fourth quarter of 2018. We'll talk a little bit about that later in the slide deck.Just going to the general description of our financial highlights for the year, remember that this is the third year of our California General Rate Case cycle, the 2015 rate case in California. And this is the time when our rate relief is the most limited. What we saw in rate relief did not cover the increases that we saw in asset-related costs and wages and other operations costs.And so that is unfortunately, fairly typical of the way things go in California with this cycle. Paul Townsley will talk in a moment about our General Rate Case and the test year for next year. But, that's typically the kind of thing that we see in the third year of California General Rate Case cycle for our company.We did see a reduction of $4.4 million in business development expenses. That was offset by the non-recurrence of $3.3 million that in 2018, we received as a drought cost recovery. The third item here is our public safety power shut offs and wildfire risk reduction activities, that was $2.1 million for the year. We've identified that throughout the year. The change in the value of our benefit plan investments actually, added $7.4 million this year, that was partially offset by a small reduction to unbilled revenue of $2.2 million and $1.6 million again of a non-recurring benefit that had occurred in 2018, from our company-owned life insurance.Fourth point here is that our final effective tax rate was 22%, that was higher than the 20% tax rate in 2018. That is due a decrease in the state tax deduction for repairs, and that resulted in about a $2.3 million reduction to net income. And I mentioned the CapEx.So, look very quickly to the fourth quarter financial highlights. And again, the difference here is primarily related to things I talked about a moment ago, the drought program cost that did not recur, the recovery there are $3.3 million. The General Rate Case increases that we have that we're not offsetting entirely are increases for wages, operating expenses and asset-related costs, the PSPS cost in the quarter, and the various other items that were typical of the year.So, now I'm going to flip over to Paul and have him talk a little bit about our 2018 General Rate Case.
Paul Townsley: Yes. Thank you, Tom. So, we filed a settlement with the California Public Utilities Commission last October, October 8th. And that was a settlement that we reached with the California Public Advocate's Office. That settlement resolved the vast majority of all of the issues that were in play in our rate case, and including in that settlement were about $609 million of new capital investments that were agreed to in the settlement, and about $200 million of capital that had been authorized in either in 2018 or prior years.There were a handful of items that were not resolved in the settlement. Those included the continuation of our Water Revenue Adjustment Mechanism or WRAM, continuation of our sales reconciliation mechanism, some balancing accounts for pension and medical costs, and then some other items including depreciation, working capital and the financing during construction.We're awaiting a proposed decision for the administrative law judge. The judge has approved interim rates going into effect as of January 1. But we've not received a PD or a proposed decision from the judge yet, either on the settled items or on the disputed items. And the commission has indicated that it is planning to issue a decision in the first-half of 2020.Tom?
Tom Smegal: Thanks, Paul. So, in light of the rate case delay, we thought it was important to note that we may have some unusual reporting in the first quarter of 2020. And the reason for that is that the management is not yet comfortable with the disputed issues in the rate case, and may elect in the first quarter earnings report, if we don't receive a proposed decision indicating the approval of these items, we may elect not to report our balancing account regulatory assets and liabilities in the first quarter earnings report.I think we will provide color, and so, we will provide a range that's out there what would have been booked had we won these issues or had we known that these issues were confirmed to be one. However, the actual results of the first quarter, if we don't get a proposed decision may not reflect these balancing accounts. And so, it may look different than our first quarter that we typically see for the company.Remember that we do have the interim rates and rates that go back to January 1. So, when a decision is issued, and the commission has currently indicated that they're expecting to issue a decision in the first-half of the year, we would be able to go back and get credit for those things in the first quarter. So, just want to make sure that we don't surprise anyone in late April, if we don't get a decision or proposed decision by them. Just be aware that that might happen.And Marty, do you want to talk about CapEx?
Martin Kropelnicki: Yes. Thanks, Tom. So, I want to briefly update everyone on the capital program, Tom gave some of the financial highlights a little earlier. For the full year, our company-funded and developer-funded capital investments came in just shy of $274 million, which is a new record for us. That's an increase of about [[check the presentation for developer-funded] 0.8% to 1% 10:38]] compared to '18.But, the more important statistic is the quarter-over-quarter. So Q4, 2018 to Q4, 2019 we saw a 33.9% increase in capital spending. We invested $78.8 million in the fourth quarter. The increased investment of fourth quarter is really attributed two things really. One, we have the Palos Verdes Water Supply Reliability project underway, which is the largest project in the company's history. We've made really good progress on that project in the fourth quarter and that project will be wrapping up here in the second-half of 2020.In addition, we had a very mild fire season. And if you follow our story and our footprint in California, we have a very broad footprint in a lot of areas that can be affected by potential fire threats. So, it was nice to have a light fire season in 2019, and that allowed us to continue to focus on our capital program and achieve those results that we saw in the fourth quarter, which again was the 33.9% increase.In addition, the company implemented it's, at-the-market equity program, that has been designed and implemented to fund our capital needs for the next three years. We anticipate raising approximately $300 million through 2020. And through the end of the year, we've raised $19.3 million of new capital to fund our capital acquisition program. So very happy with the results of our ATM program and how that's working within the market.Business development activity, Paul, do you want to give us an update on that?
Paul Townsley: Yes. Absolutely. So, our business development activity here at the company continues to accelerate. And we signed a number of deals in 2019, that once they have become approved through the various regulatory commissions, will increase our customer base by about 4.5%. So pretty sizable increase in customer count.Just a few of them are noted here on this slide. On November 6, we announced an agreement to acquire the Rainier View Water Company, this is in Washington State. Rainier View brings 18,000 customer connections to the company. And when approved, when completed, will about double the size of our Washington operations. We've filed a change of control application with a Washington Utilities and Transportation Commission. And we expect that the commission will approve this transaction in the second-half of 2020.On December 23rd of last year, we signed an agreement to acquire the Kapalua Water Company and Kapalua Waste Treatment Company. These are on Maui and they serve a combined of thousand connections at the Kapalua Resort. And then in January of 2020, of this year, we filed an application with the California Public Utilities Commission to enable us to serve what was previously announced, which is the Preserve at Millerton, which is a greenfield development in Central California. So, a lot of activity on that front.I'm going to come back and talk a little bit more about wildfire and public safety power shut offs, also known as PSPS. As I mentioned earlier, the mild fire season was a blessing this year, that allowed us to excel on the capital side. Nonetheless, we have to remain vigilant with our program. If you recall, in 2019, we did have a number of PSPS events that took place, especially in Northern California. At one time, we had 64 locations without water. Excuse me, without power, none of our customers went without water service over that extended period of time without power.We incurred about $2.1 million of total cost between the PSPS and the wildfire prevention efforts, $1.5 million on the readiness for PSPS, and approximately $600,000 on the wildfire prevention. We're already working on the program for 2020. We called the team together, we did our lessons learned, what do we need to improve on going into this year. So, those plans are well underway. And we anticipate that will incur further cost in 2020, as we get ready for a wildfire season and further prepare for power outages throughout the state.We will be seeking regulatory recovery and future filings for our expenses associated with these two events. But overall, I think the company's planning efforts and execution of their business plans around these events was very good in 2019. And I look forward to carrying that forward in 2020 and taking care of our customers during these events.Next, I want to briefly talk about Perfluorinated Compounds, also known as PFOA and PFOS. This has been a hot media topic over the last several months. PFOA and PFOS are man-made substances found, very commonly, in the industrial process, and consumer products. So firefighting foam, shampoo, clothing, food wrappers, anyone at home who uses baking sheets or baking paper, when you bake cookies so the bottoms don't get too burnt.They all contain these compounds called PFOA and PFOS. There are commonly about 5,000 of these total compounds in the class of families. PFOA and PFOS are two of these compounds found in these compounds that are also called forever chemicals.So far, there remains no regulatory maximum level set by either the Environmental Protection Agency or state regulators in the states that we serve. We have seen MCLs become effective set at the state level in New Jersey and New Hampshire. And we anticipate other states will follow. We anticipate the EPA may be speeding up their process as well to come out with an MCL in the states that we serve, and we think the regulation will rapidly evolve.In addition, in February this month of 2020, we saw the California's Division of Drinking Water revised downwards its response level for PFOA at 10 parts per trillion and PFOS to 40 parts per trillion. A response level is not a health standard, but basically indicates when you have a well that is at that response level, DDW recommends taking that out of service. And so, with their guidelines, there's a risk assessment that takes place and you have to test your wells in accordance with their guidelines for testing. We have completed that testing in California. We had approximately 11 wells that were at or around that response level that we are taking out of service.Having said that, we've made a decision to go ahead and test all of our water sources in all four states for PFOA and PFOS, just to ensure that we have a complete data set and comprehensive information on our water supply. To put that into perspective, that's 11 wells out of approximately 1,100. And so, throughout the rest of 2020, we will continue to test all of our water sources, even though they don't fit the selection criteria as defined by DDW or the EPA, and just to see what else maybe out there.Our goal always is public health and to minimize any exposure to our customers. And we will continue to work with the state to do that, to ensure we have the highest level of water quality. We also anticipate that we'll be able to recover some of these costs through regulatory filings as we get further along in the process. And then lastly, on this point, the company has also joined the consolidated product liability litigation against the manufacturers of firefighting foams, which we believe is the leading cause of contamination into the water supply.So, there will be more to come on PFOA and PFOS, it's a rather complicated topic. We're happy to talk about that in more detail if people have questions. But, keep an eye on the MCLs and know that we're ahead of the program, and we're doing the right thing.
Tom Smegal: So next page, I'm going to talk about the decoupling balancing accounts. For 2019, our sales ended up at 86% of the adopted estimates in California, that's where we're subject to the WRAM and MCBA.So our net WRAM receivable went up $62.6 million, that's up from $56.1 million at the end of 2018. Our adopted sales have been adjusted lower due to the triggering the sales reconciliation mechanism that allows us to adjust our sales, when they don't meet the target, in the second and third year of a rate case cycle. And had the SRM not been in place, the WRAM balance would have been quite a bit higher about $14.9 million, higher than it is. So, we're very happy that we have had that mechanism.I'm going to turn a couple of pages forward to our CapEx. Not many changes on the CapEx table, although we do reflect the full CapEx for 2019. The projections for 2020 and 2021 are similar to the projections that we showed at the end of the third quarter, and those are the result of the rate case settlement, that we expect the commission to approve sometime in the first-half of 2020.Flipping to the next page, which is the regulated rate base. I will highlight one change here, which is that we've updated 2019. And 2019, now reflects the year-end rate base. So what was there before was a representation of the advice letter projects that we were able to get under the regulatory regime of the 2015 rate case.Most of those advice letter projects were not filed by year-end and will be filed in upcoming years, particularly the Palos Verdes Water Supply Reliability Project. And so that's a reason that that data point has come down a bit, but there's no change to the projected rate base, going forward 2020, through 2022. Those remain the same as we indicated in the slide deck in the third quarter.So Marty, you want to wrap us up here?
Martin Kropelnicki: Yes. Thanks, Tom. So hopefully, everyone gets a sense that we are keenly focused on wrapping up our 2018 General Rate Case. As Tom mentioned earlier, there may be some noise if we start bleeding over into the second quarter without a proposed decision. And we're hoping the CPUC will conclude on our General Rate Case, which will allow us to avoid a lot of busy work that, frankly, is just expensive and doesn't provide a whole lot of marginal value. And it's just how we got to state the number. So, we're going to stay keenly focused on that.We look forward to welcoming the Rainier View employees to our company. And as Paul mentioned, we filed with the UTC, and hope to have that deal closed, sometime mid to second-half of 2020. We've been very impressed with the Rainier View employees and the processes by which they run their company, and we believe that there's a strong cultural fit with our culture, and they will be a welcome addition to our family.And then lastly, we’ll stay focused on operations, the evolving PFOA and PFOS issues preparing for wildfire season, and more PSPS outages during the year and making sure that we've maintained high quality water, while serving our customers to the best of our ability.So as you wrap up 2019, I think it was a very successful year. It's a little disappointing the rate case is getting delayed, because the company did, I think a fantastic job of trying to keep that on track. But we have to wait for the regulators now and we're going to keep doing what we do, which is invest in capital and build our company to serve our customers.So with that, Tiffany, I will open it up for question-and-answer, please.
Operator: [Operator Instructions] At this time, I am showing no questions in the queue. I will now turn the call back over to Mr. Marty Kropelnicki.
Martin Kropelnicki: Thanks, Tiffany. I know our good friends at [indiscernible] are having their Analyst Day today. And our call is scheduled during their Analyst Day. So we'll be in the office all day. If anyone has any follow-up questions, feel free to reach out to Tom and we'll all be here, and we'll take any one-on-one questions anyone has. And thank you for your support during 2019 and we'll look forward to talking to everyone throughout 2020. Thank you, and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and have a wonderful day.